Operator: Good day, everyone and welcome to the First Quarter Results Conference Call. Before we get started, let me remind you that today's conference call contains forward-looking statements as defined by the Private Securities Litigation Reform Act of 1995 and includes statements as to estimates, expectations, intentions, and predictions of future financial performance. Statements that are not historical facts are forward-looking. Participants are directed to Trinity's Form 10-K and other SEC filings for a description of certain of the business issues and risks, a change in any of which could cause actual results or outcomes to differ materially from those expressed in the forward-looking statements. Please note, today's call may be recorded. It is now my pleasure to turn the program over to Gail Peck, Vice President, Finance and Treasure. Please go ahead.
Gail M. Peck - Treasurer & Vice President of Finance: Thank you, Lendy. Good morning, everyone. Welcome to the Trinity Industries' first quarter 2016 results conference call. I'm Gail Peck, Vice President of Finance and Treasurer of Trinity. Thank you for joining us today. Similar to the format we've used on our recent earnings call, we will begin with an update on the Highway Products litigation matter. We will then follow with our normal quarterly earnings conference call format. Today's speakers are Theis Rice, Senior Vice President and Chief Legal Officer; Tim Wallace, our Chairman, Chief Executive Officer, and President; Bill McWhirter, Senior Vice President and Group President of the Construction Products, Energy Equipment, and Inland Barge Groups; Steve Menzies, Senior Vice President and Group President of the Rail and Railcar Leasing Groups; and James Perry, our Senior Vice President and Chief Financial Officer. Following their comments, we will then move to the Q&A session. Mary Henderson, our Vice President and Chief Accounting Officer, is also in the room with us today. I will now turn the call over to Theis Rice.
S. Theis Rice - Chief Legal Officer & Senior Vice President: Thank you, Gail, and good morning everyone. Today, I will provide brief updates on the litigation we are facing related to our ET Plus System. I'll discuss three things in particular. First, what Trinity is doing from a legal standpoint to have the judgment and the federal False Claims Act case overturned on appeal; second, what independent third-parties and organizations have done to support our cause to overturn the judgment; and third, what other legal issues have arisen by virtue of the False Claims Act judgment. As reported previously, an adverse judgment was entered in October 2014 against Trinity Industries and Trinity Highway Products in a False Claims Act case, filed in United States District Court for the Eastern District of Texas. This case involves the ET Plus guardrail end terminal system manufactured by Trinity Highway Products. We have appealed the judgment to the United States Court of Appeals for the Fifth Circuit. Our opening appellate brief was filed March 21, 2016. Briefing by all the party should be completed by mid-summer, 2016. We expect the Fifth Circuit will not issue a ruling in this case earlier than late 2016. We believe our filing in the Fifth Circuit spells out in a clear and convincing way that the original judgment should not stand. We believe our brief presents a compelling argument of the errors that were made and why this case should not have been brought to trial from the start. After filing our appellate brief, amicus curiae brief were filed with the Fifth Circuit by several organizations, individuals, and states supporting the position that the judgment should be overturned. While these briefs offer diverse arguments in support of Trinity's appeal, we believe several fundamental positions are clear. First, the judgment could undermine safety on the nation's roadways, inhibit innovation, and create crippling regulatory uncertainty. Second, the judgment will prevent companies from relying on governmental assurances, that their products comply with applicable regulations and it will discourage companies from entering the marketplace and increase cost to states. Third, the judgement takes highway safety decisions out of the hands of government safety experts motivated by the public good and hands them over to private individuals motivated by monitoring gain. And last, a False Claims Act suit should not proceed when the government repeatedly denies there had been any material false claims. When taken together, these amici (04:30) briefs offer a convincing affirmation that the case against Trinity Industries and Trinity Highway is without merit and the judgment should be reversed. Trinity Industries and Trinity Highway are also named in multiple suits that stem from the federal False Claims Act case. Nine suits have been filed under separate respective state False Claims Act Law. All nine of these suits are stayed, pending the Fifth Circuit's ruling in the False Claims Act appeal. Additionally, individual product liability cases as well as product class actions have been filed. A shareholder class action and multiple books and records requests under Delaware Law have also been filed. We believe these actions are groundless and are seeking to capitalize on the jury verdict in the False Claims Act case. For a more detailed review of these cases, please see Note 18 under the financial statements in Trinity's Form 10-Q for the period ended March 31, 2016. Please also refer to www.etplusfacts.com for additional information. In closing, the ET Plus has undergone and passed more crash tests and performance evaluations than any guardrail end terminal device in history. Since it was introduced in 2000, it has maintained an unbroken chain of eligibility for reimbursement under the Federal-Aid Highway Program and it has always been accepted for use on the nation's roadways by the Federal Highway Administration. Today, we are manufacturing and selling the ET Plus and the federal government continues to reimburse states for installations of the device on authorized projects. In simple terms, it's my understanding that since 2000, all states that purchased and installed the ET Plus under the Federal-Aid Highways Program had been reimbursed by the federal government under the provisions of that program and these states are receiving the benefits associated with the use of this product on a daily basis. We remain absolutely confident in our products and our business practices and we continue to maintain that the allegations in these cases are baseless and without merit. I will now turn the call over to Tim.
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Thank you, Theis, and good morning to everyone. Trinity's first quarter financial results reflect a deterioration in demand for a number of our products. Even though our financial results declined, I'm pleased with our overall operating performance. The ability of our people to make orderly transitions when market conditions shift is impressive. In some of the energy markets we serve, there's an oversupply of products. We expect it may take a while before they are absorbed and the demand returns to more normal levels. In the meantime, we're planning for an extended slowdown while remaining flexible to respond to opportunities that may serve us. During the last several years, we've honed our manufacturing flexibility and refined our line changeover skills. This enables us to shift our production lines so we can pursue a variety of products that fit our production criteria. Regardless of where we are in the market cycle, our business leaders constantly evaluate the positioning of their manufacturing facilities and streamline operations to align their production with demand. We also focus on cost containment, lean manufacturing and a variety of initiatives to enhance and grow our company. Trinity is a much stronger company today than in previous downturns. Our businesses have significant experience successfully responding to shifts in demand levels. We are better positioned, given our healthy balance sheet and liquidity. The backlogs in our business built during the up-cycle have been crucial for an orderly transition to lower production levels. The growth of our Railcar Leasing business and the diversification of our manufacturing businesses provide value during various points of the business cycle. I'm confident in our ability to identify opportunities to improve and grow our company as we successfully navigate through the current cycle. Regarding our Railcar Leasing business, we plan to grow our wholly-owned lease fleet this year. We're flexible with respect to the volume of railcars with leases we will sell this year to investors. Steve and James will provide more comments on this topic during their remarks. Overall, I'm pleased with our company's ability to make prompt and orderly transitions when market condition shift. We strive to do our best in every market environment and constantly work at straightening our company's competitive position. We remain positioned to capitalize on opportunities that align with our vision of being a premier diversified industrial company. I will now turn it over to Bill for his remarks.
William A. McWhirter - Group President-Construction Products & Senior VP: Thank you, Tim and good morning everyone. The Energy Equipment Group performed well during the first quarter of the year, primarily due to the wind tower business. The group's margin improved year-over-year on slightly lower revenues. At the end of the first quarter, the wind tower backlog totaled $263 million, providing solid visibility over our planned production in 2016. We are beginning to see indications of future demand as a result of the tax incentive for renewable energy passed by the Federal Government at the end of 2015. The multiyear Federal incentive provides wind farm developers and their supply chain partners the time to plan and develop new wind projects. The utility structures market remains highly competitive. Shifting dynamics within the markets are causing uncertainty about the timing of large projects. Replacement opportunities for utility towers may evolve as customers increasing focus on reliability issues associated with the ASEAN Power Grid. The federal tax incentive for wind power should eventually drive the development of additional transmission infrastructure needed to bring new wind power to the market. The Barge Group's first quarter performance reflects a continuation of weak demand market. Competitive market dynamics have resulted in reduced amount of operating profit compared to recent years. Our Barge team is doing a great job maximizing production efficiencies and reducing cost, as we align our footprint to current demand. During the first quarter, we completed the closure of one of four manufacturing facilities. Demand for both dry cargo barges and liquid cargo barges remains weak. The strong U.S. dollar is negatively impacting agricultural exports, suppressing demand for hopper barges. At the same time, declining oil production has led to a significant overhang of underutilized tank barges. Approximately $14 million of orders were received during the first quarter, resulting in a total backlog of $319 million. This level of backlog substantially fills our production plan for the remainder of the year. The manufacturing flexibility built into our facilities in recent years has positioned our Barge team to respond effectively to changes in market demand. The Construction Products Group improved quarterly revenue and profit year-over-year as a result of better weather and improving market conditions. Demand for aggregates remains robust in the markets we serve in the Southwestern United States. Repositioning our Construction Products business during the last few years has benefited this group's overall performance. We are committed to finding opportunities to expand our product portfolio and grow our market positions. We expect the new federal transportation bill will increase demand for our Highway Products as we get closer to the end of the year. I am pleased with the way our businesses are responding to the changing and often challenging demand conditions. Long term, our outlook for energy and infrastructure investment in North America remains positive. And now, I'll turn the presentation over to Steve.
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Thank you, Bill and good morning. The TrinityRail team had solid operating performance during the first quarter of 2016. This is particularly impressive as our team adjusted to reduced production volumes, following the record-setting pace of the fourth quarter of 2015. During the first quarter, we shipped more than 7,100 railcars, achieved favorable operating margins, and grew the lease fleet while maintaining high fleet utilization. We achieved these results while we continue to adjust to a new demand environment. Excess industry production capacity and a growing overhang of idle railcars along with weak industrial market conditions are creating a challenging environment for our railcar manufacturing and leasing businesses. We are responding to market conditions by rationalizing production, implementing initiatives to reduce our cost structure, keeping railcars on lease, and pursuing orders that support further production efficiencies. As we discussed in our last earnings call, we expect our financial performance to decline from 2015 peak levels, resulting from lower anticipated shipment levels, the significant shift in railcar product mix scheduled for delivery in 2016, and costs associated with the planned reduction in our production levels. The weak market fundamentals are also placing pressure on lease rates and may adversely impact lease fleet utilization. A lower volume of leased railcar sales is also impacting our 2016 financial results. Our Rail Group received 1,620 new railcar orders during the first quarter. Most of the orders we received during the quarter are for railcars scheduled for shipment in 2016. The orders we received represent a mix of tank cars, hoppers, gondolas, flatcars and autoracks, and highlight the broad range of the TrinityRail product line. We are focused on securing additional orders that extend production continuity and enable operating efficiencies. We are well positioned to respond to the market given the broad range of railcar types we are currently producing. At the same time, the recent railcar up-cycle provided our production team the opportunity to fine-tune our ability to efficiently execute production line changeovers. We're highly confident in our manufacturing flexibility, which positions us to – well, to pursue a diverse range of railcar orders. Our order backlog of approximately 43,360 railcars, valued at $4.7 billion at the end of the first quarter, provides good visibility for 2016 production planning. During the first quarter, the Rail Group delivered 7,145 railcars and achieved a very healthy operating margin of 18.6%. We are maintaining our current expectation for deliveries in 2016 of approximately 27,000 railcars. We have begun several line changeovers to accommodate the significant shift in our product mix planned for production in the balance of 2016, while (15:33) reducing our production footprint and throughput to align with current railcar demand. This will have an impact on our second quarter operating margins. We will continue to monitor order levels and make adjustments to our production as necessary. I am pleased with the Leasing Group's operating performance during the first quarter of 2016, maintaining fleet utilization above 97% and taking delivery of 2,410 railcars. However, lease rates for renewals and assignments are highly competitive, and in general, reflect overall rate declines with certain market sectors more pressured. Our total managed fleet including our wholly-owned, partially-owned, and investor-owned fleet now exceeds 97,200 railcars. The significant scale of our lease fleet provides a base of earnings and cash flow to help mitigate declining manufacturing earnings. In 2009, the year after the last railcar cycle peak, our leased fleet contributed $128 million in operating profit from operations for the full year. In the first quarter of 2016 alone, our lease fleet generated operating profit from operations of $70 million or 55% of the 2009 total. This reflects the continued growth of our lease fleet. We expect our committed leased railcar backlog of $1.3 billion to generate further growth of our lease portfolio in 2016. As we have shared on prior conference calls, our RIV platform provides Trinity a unique capability which enhances our flexibility. Railcar investment vehicles, or RIVs, are discrete portfolios of leased railcars, originated and managed by TrinityRail, and offered for sale to institutional investors for inclusion in an investment fund or for their direct investment. The RIVs we have put in place are highly structured transactions that are intended to span several years. Over the years, we are starting (17:40) to experience shifting market conditions such as we're experiencing today. In the RIV structures, Trinity has flexibility as to the timing and quantities of leased railcars we may offer for sale to an investor. In today's economic environment, the capital markets may perceive greater overall risk, and institutional investors can be influenced by spot market conditions in assessing railcar lease rates. The result may be a lower valuation of leased railcars than we have seen in previous years during strong rail market conditions. Both quantitative and qualitative considerations are reviewed in deciding whether to sell or hold leased railcars. We evaluate the economic returns of selling these railcars to our RIV platform compared to the returns of owning these railcars in our own portfolio. We also evaluate qualitative considerations, including the diversification and size of our lease portfolio, as well as the terms of our RIV agreements. In the current market environment, we may find it more advantageous to place leased railcars into our portfolio and, as such, may hold a portion of the volume of leased railcars previously anticipated to be sold into the RIV platform. We continue to monitor the industry's implementation of HM 251 tank car regulations. As we've indicated, modifications to our leased fleet are currently underway. I am pleased with the flexibility of our expanded maintenance services facilities which are making HM 251 modifications, while also providing regulatory compliant services for our owned and managed lease fleets. During the second quarter, we will begin HM 251 modifications for third parties. In summary, TrinityRail's operating performance reflects the strength of our integrated railcar manufacturing leases, leasing and services business model. Our operating and financial flexibility and leading market position give us confidence we can effectively adapt to rapidly changing market conditions. Our investments in our facilities, manufacturing processes, and lease fleet have positioned TrinityRail to elevate our performance throughout the entire business cycle. I will now turn it over to James for his remarks.
James E. Perry - Chief Financial Officer & Senior Vice President: Thank you, Steve, and good morning, everyone. Yesterday, we announced our results for the first quarter of 2016. For the quarter, the company reported earnings per share of $0.64 and revenues of approximately $1.2 billion, compared to EPS of $1.13 and revenues of more than $1.6 billion, respectively, for the same period last year. Major variances from last year's first quarter include an 18% decrease in railcar deliveries, contributing to a 26% year-over-year decline in operating profit for the Rail Group; an 89% decline in operating profit from sales of leased railcars due to a lower volume of quarterly sales; and a 54% decrease in operating profit from the Inland Barge Group. During the first quarter, we invested $229 million in our wholly-owned lease portfolio. We also invested $26 million across our manufacturing businesses and at the corporate level. During the first quarter, we repurchased $35 million of our stock. We ended the first quarter with $835 million of cash, cash equivalents and short-term marketable securities. We have access to additional capital through our committed lines of credit at both the corporate and leasing levels. At the end of the quarter, our available liquidity position was approximately $2.1 billion. Now, I will move to our current guidance for 2016. As we discussed on our last earnings call, we expect this year to be more challenging than the last few years due to weaker demand levels in many of the markets we serve. Hesitancy from our customers to place orders continues. Shifts in our product mix and costs associated with aligning our production levels with demand will impact our margins this year. However, it is difficult to precisely predict the magnitude and timing of the impact on a quarter-by-quarter basis. In our press release yesterday, we provided EPS guidance of $2 to $2.30 for 2016. Our guidance assumes no improvement in current economic conditions this year and represents several factors: Our current firm backlogs, expectations for our operations against a weak industrial outlook, and our expectations for sales of leased railcars to the RIV platform. We have lowered the high end of our guidance range from $2.40 to $2.30 due to lower expected level of leased railcar sales, which I will detail later. We expect our Rail Group to deliver approximately 27,000 railcars in 2016 with first half and second half deliveries roughly equivalent. We are maintaining our annual revenue guidance for the Rail Group of approximately $3.1 billion and operating margin of approximately 15%. Our margin guidance reflects the significant change in our product mix and declining operating leverage due to the lower level of production as compared to 2015, as well as cost associated with aligning our production levels with demand. The Rail Group reported an 18.6% margin in the first quarter. Our full-year guidance level at 15% reflects our expectation that the Group's quarterly operating margin for the remainder of the year will be below that of the first quarter. At this time, we expect the second quarter to be the low point for the Group's margin this year, due to the mix of railcars being delivered during this quarter. In 2016, we expect to eliminate approximately $1.15 billion of revenues related to railcar sales for our leasing company and lease fleet maintenance. We expect to defer approximately $215 million of operating profit. These revenue eliminations and profit deferrals result from the accounting treatment of sales from our manufacturing company to our leasing company. We are maintaining our Energy Equipment guidance for 2016, revenues of approximately $1 billion with an operating margin of approximately 12%. At the end of the first quarter, our wind towers backlog totaled $263 million. We are also maintaining our Construction Products Group guidance for 2016 with revenues of approximately $560 million and an operating margin of approximately 11%. Our Inland Barge Group is now expected to generate revenues of approximately $420 million in 2016 with an operating margin of approximately 11%. Our backlog for Inland Barge Group was $319 million at quarter-end. In 2016, we still expect our Leasing Group to report operating revenues excluding leased railcar sales of approximately $700 million with profit from operations of approximately $300 million. During the first quarter, total proceeds from sales of leased railcars to the Railcar Investment Vehicle platform were $21 million, including sales directly from the Rail Group. As we have said, the level of sales of leased railcars will vary on a quarterly basis due to their transactional nature. The current railcar market conditions are impacting the overall margins we may achieve for portfolio sales to the RIV platform compared to recent years. We are evaluating the margins we may earn from selling portfolios to the RIV platform as compared to retaining the leased railcars in our fleet in the near-term. Owning a large number of railcars in our fleet provides ongoing rental income that helps to somewhat offset declining manufacturing income during a down cycle. Ownership also provides cash flow benefits, solid returns to the cycle, and the flexibility to enhance those returns by selling the railcars at attractive prices in a stronger market. We are committed to growing our RIV platform, and we have strong relationships with long-term investors. However, we expect the portfolio evaluation process and sales to the RIV platform to be very fluid throughout the year. Given our evaluation of the appropriate timing of the leased railcar sales and the current return proposition, we now expect between $300 million and $400 million of leased railcar sales to the RIV platform in 2016, down from our previous guidance of $500 million. At this time, we are not providing operating profit guidance associated with these sales or the quarterly cadence due to the fluid nature of these transactions as Steve described. Our annual EPS guidance also includes the following assumptions: A tax rate of approximately 36%; corporate expenses of $120 million to $140 million, which include ongoing litigation expenses; the deduction of approximately $17 million of non-controlling earnings due to our partial ownership in TRIP and RIV 2013; a reduction of approximately $0.08 per share due to the two-class method of accounting compared to calculating Trinity's EPS directly from the face of the income statement; and no dilution from the convertible notes based on the current stock price. We expect the gross cash investment in our lease fleet to be approximately $925 million in 2016. This will be partially offset by the level of leased railcars sold from the Leasing Group that we conduct in 2016. Full-year manufacturing and corporate capital expenditures for 2016 are expected to be between $150 million and $200 million. In conclusion, we maintain a strong balance sheet and significant liquidity. We continue to take investment opportunities that enhance shareholder value. We are confident that Trinity will respond appropriately to the weak industrial markets this year as we continue to pursue our vision to be a premier diversified industrial company. Our operator will now prepare us for the question-and-answer session.
Operator: We'll go first to Matt Elkott with Cowen & Company. Please go ahead. Your line is open.
Matt Elkott - Cowen & Co. LLC: Good morning. Thank you for taking my question. I want to try to get a sense of where we are on the operating cost adjustment front. If I assume deliveries in the 27,000-unit neighborhood this year and another, say, 30% decline next year, I'm not too concerned about the gross margins of these deliveries even in 2017 because I think a lot of them will – are already in the backlog and presumably at solid ASPs. But how much more operating cost adjustment can happen from this point, and how concerned are you that if the environment remains unchanged, that gross margins remain solid, but operating cost adjustments will level off before we see a rebound in the cycle?
James E. Perry - Chief Financial Officer & Senior Vice President: Matt this is James. Thanks for your time and question this morning. I think we look at across the enterprise all of our businesses, the adjustments we have in aligning to the demand or production levels that we're currently anticipating. And as we go through each quarter, we look at footprint reductions, throughput reductions, those kind of things, and the costs are going to vary. We certainly, with the backlogs we have, as you mentioned, have a good sense of what the production is needed to be in several of our businesses, but that's very fluid. We'll provide our expectations for margins, which obviously incorporate operating costs as we go forward throughout the year. And it's a little too early, I think, to get into 2017 and the expectations we have there, but we've got a keen eye on reduction of overhead operating costs at both the manufacturing, leasing and corporate levels.
Matt Elkott - Cowen & Co. LLC: Okay. I was just trying to get a sense on whether there is a level where you'd be cutting into the bonds or if the environment remains the same or deteriorates further, will there still be some level of room on the operating costs front too. But that's a fair answer. Just one more question on your guidance assumptions. So we've seen some flickers of light, if you like, in the industrial world in recent months. So if you have steel prices trying to recover a bit, energy prices, some improvement in some manufacturing indicators, the dollar strength becoming a bit less pronounced. When you say your guidance assumes current conditions continue, does that mean that the things I just mentioned continue on the rebound or is it more of a literal stance that you mean no change in either direction in the overall environment from current levels?
James E. Perry - Chief Financial Officer & Senior Vice President: Matt, again, this is James. Thanks for your question. I think when we talk about the current economic environment not changing; we're not seeing much pick up yet. We don't assume that the economic environment will improve or planning for an extended slowdown. But as several others have said, we always remain flexible enough to be able to respond quickly if demand strengthens for some of our products and can adjust our facilities and employment levels accordingly. We analyze many of the same things you talk about, energy prices, industrial production, those kind of things and one of the key indicators is obviously talking to our customers themselves about what they're seeing. But we remain ready to react accordingly in either direction. Steve, do you want to add to that?
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Yeah. Sure. Matt, the other thing I would add out is while certainly the demand drivers for specific commodities and then specific markets may change, we also have the market dynamics in Rail, the significant overhang of idle railcars that will have to be absorbed through demand before we see a significant improvement in demand for new railcars. So it's not just the demand and the activities going on in those markets, it's also the available equipment in those markets that has to be absorbed too.
Matt Elkott - Cowen & Co. LLC: Yeah. No, and that's a good point. But I guess on the bright side for you guys, not for the railroads, a lot of the reason behind the idle railcars is that the velocity improvements has been in great part attributable to ideal, near ideal weather conditions along with low volumes. So it's kind of an anomalous combination that may not occur as we go forward – reoccur as we go forward. So we'll see how that plays out. But thank you very much for your responses. I appreciate that.
James E. Perry - Chief Financial Officer & Senior Vice President: Thank you, Matt.
Operator: And we'll take our next question from Allison Poliniak with Wells Fargo. Please go ahead. Your line is open.
Allison A. Poliniak-Cusic - Wells Fargo Securities LLC: Hey, guys. Good morning.
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Good morning.
Allison A. Poliniak-Cusic - Wells Fargo Securities LLC: Just testing on, obviously, Steve, you mentioned a lot of available capacity out there. Looking at the multi-year agreements, I understand they're not canceled, but just given this environment and how fast it's deteriorating, are – just from a broad sense, are there mechanisms there that we should consider those contracts potentially at risk as we go forward here?
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Allison, this is Steve. No, I don't think you should consider those contracts at all to be at risk. We've been in business, in the rail business for over 40 years, and we've been successful because of the relationships we build with our customers, particularly those that we have long-term agreements with, and we're going to work with those customers in strong markets and in weaker markets so that their needs are being met. At the same time, we have our own needs that have to be met as well. So the fact that we have a changing market conditions really doesn't change the nature of those relationships and how we work with customers. Certainly, there are customers who are talking about how we can help them through these economic times, and we'll do that if it makes sense. But I don't see anything extraordinary going on today that isn't part of our course of business over many years.
Allison A. Poliniak-Cusic - Wells Fargo Securities LLC: Okay. That's great. And then just yesterday, one of your leasing competitors mentioned that they took back some cars, obviously, at a benefit to them. Has anything happened like that with Trinity yet that's maybe embedded in numbers that we're not aware of?
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Sure. And I understand the example you're talking about. We typically don't disclose specific transactions. But what I think, if I understand, was done there is certainly typical of what's done throughout our industry. If there is an opportunity to work with a customer and there is benefit to both parties and a win-win situation, of course, we're going to take that under consideration and look at that.
Allison A. Poliniak-Cusic - Wells Fargo Securities LLC: Great. Thanks so much.
Operator: And we'll take our next question from Bascome Majors with Susquehanna. Please go ahead. Your line is open.
Bascome Majors - Susquehanna International Group: Yeah. Thanks for taking my question here. Maybe following up on the last question, but more from (34:47) a manufacturing standpoint. The RSI's railcar numbers for the industries came out a few minutes ago. It looks like, if you do the math between orders and backlogs and deliveries, that maybe 6,000 or so railcar orders were cancelled across the industry in 1Q. Maybe 5,000 of those coming in small-cube hoppers for frac sand. Are you guys seeing cancellations in your backlog today? Is that buried in the number somewhere?
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Bascome, this is Steve. Thanks for your question. First of all, I just received the industry numbers as we were literally walking in the room. And just to comment on the overall orders, it seems to be fairly consistent with what our expectations were for the market in the first quarter. I have not had the opportunity to delve further into the numbers, so I really can't apply on what you think has been taken out. Again, we've been firm on this and been consistent with this, so we don't allow cancellations. Now, if there is a business transaction that can be accommodated between two parties, that's a win-win, we'll certainly take that into consideration. But on the face (35:56), our contracts are not cancellable. We're not in the business of selling options. We sell railcars and that's what we do.
Bascome Majors - Susquehanna International Group: Understood completely there, and kind of that was leading to the second part of my question, similar to the situation in the Leasing business alluded to earlier. In a situation where a customer has an order that they do not intend or decide they don't want to go forward with, I mean, how do you work that out in a situation where Trinity can be made whole? Is it maybe we keep something similar to our margin and let you off delivery? What are the options there in a situation that can be attractive to Trinity and the customer?
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: You know, Bascome, I mean it's a lot of different things and I think the important thing is we're going to work to a win-win situation. We want to work with our customers. We're going to be in business next year and the year after. We're going to want to do business with those folks then as well. Certainly there is compensation. There is the ability to switch car types. There is a number of different considerations that we could look at. But we're certainly not going to impair our company to make those things happen.
Bascome Majors - Susquehanna International Group: Understood. Maybe going back to the RIV platform a little bit, you made some comments about maybe the returns from holding the railcars for their life are looking a little better than the returns from selling them portfolios here and now into this market. But you also made some comments that the interest of institutional investors remains very robust or at least consistent here. Is it just they still want to invest, but the price no longer makes sense as much as it did for Trinity? Can you just give a little color on what's happening on that market? Because it feels like we're getting very different signals from Trinity and one of your competitors that operates in this business and even from the operating lessor side with the call from big player there yesterday. Thanks.
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Bascome, Steve again. Institutional investors have identified leased railcars as an attractive asset class, particularly those in the insurance and pension fund areas who have fixed obligations. I don't think that changes over cycles of sophisticated investors who understand that it is a long-lived asset and there is going to be market shifts during that asset life. What does happen is their near-term valuation perceptions will change. The capital markets are in a more of a risk on environment which could drive up interest rates on long-term financings, which has an adverse impact on railcar valuations. And the institutional investors may also be using current spot market lease rates in their analysis for future cash flow assumptions. Again, that would have a negative impact on valuations. But there is still a keen interest by those institutional investors to participate in the asset class. Just the valuation methodologies, I think, are a little more reflective of today's current economic environment, and we're seeing valuations slide a little bit with what we've seen over the last few years in the peak environment that we've been in.
Bascome Majors - Susquehanna International Group: On the RIV platform, from peak to kind of where we are today, is there a – can you give us just a directional indicator of kind of values you're seeing on an apples-to-apples basis?
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Not really, Bascome.
James E. Perry - Chief Financial Officer & Senior Vice President: Yeah. This is James, Bascome. I mean, obviously, every portfolio has its own characteristics so it's really hard to generalize that. Obviously, new car pricing and lease rates have come down some, but it's really going to vary on the length of lease, what the portfolio makeup is, those types of things. And we look at, as Steve said, qualitative and quantitative aspects when we look at the RIV platform. And as Steve said, these are structured transactions with multi-year type perspectives, and so the timing may shift around, but the interest is certainly still there on both sides of the equation.
Bascome Majors - Susquehanna International Group: All right. Thank you for the time this morning, guys. Thank you.
James E. Perry - Chief Financial Officer & Senior Vice President: Thank you.
Operator: And we'll take our next question from Justin Long with Stephens. Please go ahead. Your line is open.
Justin Long - Stephens, Inc.: Thanks and good morning. So I wanted to ask a bigger picture question on the railcar cycle. We've had a couple other companies provide their thoughts on the delivery outlook the next few years. One thinks it will be about replacement levels. The other thinks we could be well below replacement. Would you mind sharing your latest opinion on the industry production in the next few years and how long you expect this recent weakness we've seen to last?
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Yeah, Justin. Steve again. Boy, if I had the crystal ball for all that, we might be all doing something different today. But look, we're seeing still quite a bit of shifting in market conditions. So I don't know that we've reached any steady state or any point of equilibrium. So there is a potential that market conditions could erode further impacting railcar building in 2017 and 2018. We've seen several of the independent forecasting companies revise their projections for several years out downward. Certainly, they're seeing some of the same market dynamics that we're seeing. But I really haven't focused on what industry production is going to be in 2017 and 2018. We've got our hands full with 2016 and looking to perform at a high level this year.
Justin Long - Stephens, Inc.: Okay. And maybe another way to ask it, when you think about rationalizing your manufacturing footprint, what's the environment you're preparing for? I mean, does it really matter I guess at this point what you think 2017 deliveries will be or are you preparing for a 50,000-unit demand environment, something lower? Maybe, that's a better way to ask it.
James E. Perry - Chief Financial Officer & Senior Vice President: This is James, Justin. I think when we look across the platform not just rail deliveries but as you've heard us say for many years, we've really worked hard to put a lot of operational flexibility into our facilities whether it's different products, different railcar types, barge types, those types of things. So we know what's in our backlog. And talking to the customers, we have a sense to looking out a little ways what the inquiry levels look like, what the production levels look like, and so we're able to adjust knowing what's coming. But looking into 2017, again, it's a bit premature but we've retained a lot of flexibility. Steve?
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Yeah. Justin, we've been spoiled a little bit over the last few years with the robust nature of the railcar market. I mean, we've had backlogs that are lasting 12, 18 and sometimes even longer than that. So we're in a very different operating environment. Historically, our backlogs are in the three to six months and our long backlog is nine months, okay? So we're sitting here at the end of the first quarter being asked questions about 2017 and 2018, I think later this year I'll have much better insights into 2017 and maybe even 2018 which is more in line with the traditional railcar market. We also have backlog that takes us into 2017, which provides a foundation for us to build from in our production levels in 2017. So I just think it's a little premature to really hone in on 2017 and 2018, and we'll certainly keep you apprised as we talk again the next quarter.
Timothy R. Wallace - Chairman, President & Chief Executive Officer: And Justin, this is Tim Wallace. The ability of our people to make these transitions when market conditions shift, as I said in my call remarks, is very impressive. We've come a long way over the last 15 years in this area, and we spend a lot of time working on our business model to be something similar to the way, I used to call it the Ringling Brothers change-out, the way that they changed their circus around as quickly as they do. We strive to make those same changes, and we've made a lot of progress in the market – in the mix of products that we're able to change in our facilities. Today, we're changing tank barges out with hopper barges. We're changing tank cars out with box cars, and we couldn't do this a decade ago, but our people have really worked hard to be able to do that, and that all works in to this flexibility that we talk about.
Justin Long - Stephens, Inc.: Okay. Great. And I'll maybe sneak one last one in, if that's okay. But I know you don't disclose all the details on car types in your lease fleet, but a lot of us try to strip out and value these assets separately from the manufacturing businesses. And one thing that would really help in that process is knowing the car type mix, specifically how weighted that lease fleet is for tank cars. Is there anything you could share just high level that would help us think about the mix within that lease fleet?
James E. Perry - Chief Financial Officer & Senior Vice President: Justin, this is James. We just don't provide that. We've got a very diverse fleet. We've worked hard over the years with what we've added to our fleet but we've placed them to the different RIV portfolios so all of the fleets whether owned, partially owned or invested are very diverse. So I think our fleet will be rather typical of that conversation.
Justin Long - Stephens, Inc.: Okay. Fair enough. I'll leave it at that. Thanks for the time.
James E. Perry - Chief Financial Officer & Senior Vice President: Thank you.
Operator: And we'll go next to Gordon Johnson with Axiom Capital. Please go ahead. Your line is open.
Gordon Johnson - Axiom Capital Management, Inc.: Thanks for letting me ask the questions.
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Sure.
Gordon Johnson - Axiom Capital Management, Inc.: I guess the first question is, off your backlog, how much of that is in your lease portfolio?
James E. Perry - Chief Financial Officer & Senior Vice President: We've got about $1.3 billion dedicated to our leasing company at the end of the first quarter.
Gordon Johnson - Axiom Capital Management, Inc.: Okay. That's helpful. And then when I looked back to the last down cycle, it looks like in Q4 of 2008, there was a significant amount of deferrals. Your backlog dropped from 24,000 to 8,200 cars and that didn't come back until Q1 of 2011. So I think given the prior question that was asked, if you look at the difference between the rail supplies to data that was just reported, it looks like there was roughly 6,000 cars canceled, and we haven't seen a number that high since the global financial crisis. So maybe not, I guess, cancellations, but could we see another significant deferral of orders impact your business?
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Gordon, this is Steve. Sure. I mean, that's very possible. Of course, the deferral you're talking about back in 2008 was regarding ethanol, and there were a number of ethanol cars that were planned to be built and a number of those ethanol producers didn't make it through the downturn. So that's why I think we had that adjustment back then. We have different markets and different considerations here in the current set of circumstances. But as I discussed earlier, all those things are options, but we're going to approach those on a case-by-case basis and we're going to do things that are not only in the best interest of our customers, but in the best interest of Trinity as well.
James E. Perry - Chief Financial Officer & Senior Vice President: And, Gordon, this is James. Just one little reminder to add back – looking back in that last cycle, those cars that came out of the backlog, that was a mutual agreement that we had with a few customers to remove about 10,000 ethanol cars from our Leasing backlog. So those were cars, to Steve's point. Not as many of those ethanol customers kind of reached the levels they were thinking about at that point. But we also looked at the risk of adding 10,000 cars to a lease fleet that may not have attractive renewals a couple of years later as we felt that market is starting to plateau a bit. So that was a mutual decision we made and, as Steve said, turned out to be a win-win for everybody because we didn't then have unutilized cars a few years later.
Gordon Johnson - Axiom Capital Management, Inc.: I guess to that point, then, is that something that we could see now in the crude kind of – crude-by-rail tank car area? It seems like that will be advantageous for you guys.
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Well, again, Gordon, this is Steve. Perhaps, but as we've mentioned, we have delivered all of our crude oil tank cars. We don't have any of those in backlog. We've substantially delivered (sic) [them}. Our small cube covered hoppers, we're working with customers that are still in our backlog to accommodate their long-term needs with that respect. So we're working – this is a very dynamic situation, it's a very fluid market.
Gordon Johnson - Axiom Capital Management, Inc.: Okay. That's helpful. And one last one, if I could. So it seems like when we're doing our checks, we're hearing the car types are being reworked. So given there are certain car types that are clearly in oversupply and there's other car types that are better positioned, is it potentially the case that some of these reworking of car types could be flooding other markets, other car type markets and causing oversupply in those segments? Thanks for the question.
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Yeah. Sure, Gordon, Steve again. And I think when you say rework, perhaps they're being retrofitted or modified for other commodity services or other classes of service, and that's what the leasing business is about. I mean, we take residual risk. We're buying long-lived assets. We expect to remarket these assets during their life, and we have to have the ability to configure railcars to meet different commodity service, to maximize their marketability. That's one of the reasons why we've invested significantly in our maintenance services capabilities so that we have the ability to take care of our owned and managed fleet in that regard. So, again, this is very much part of the Leasing business. And having to remarket and reconfigure cars for different commodity services is really a part of what a leasing company does.
Gordon Johnson - Axiom Capital Management, Inc.: Thank you.
Operator: And our next question comes Matt Brooklier with Longbow Research. Please go ahead. Your line is open.
Matt S. Brooklier - Longbow Research LLC: Yeah. Thanks. Good morning. I just wanted to clarify something I heard earlier in the call. Steve, you had mentioned that your expectations are for 2Q to be potentially a low point for the Rail Group margin. I just want to confirm that was said. And then I also wanted to dig in just a little bit in terms of what are the components of why the margin dips in 2Q and kind of the expectations for the second half of the year.
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Yeah. Sure. Thanks, Matt. Q2, we really are going through a significant shift in our product mix, a very significant shift in our product mix. Tim has talked about the capabilities of our organization to respond with our flexibility. I believe we were challenged here in the second quarter, and I'm very confident we'll do well with it. So that is going to have an impact on our margins in the second quarter, and that's a big part of it.
Matt S. Brooklier - Longbow Research LLC: Okay. And did you guys provide any color in terms of the cadence of deliveries that – the deliveries for the rest of this year?
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Yeah. Steve again, Matt. We expect first half and second half deliveries to be basically comparable and we're working on the second quarter here with the line changeovers, we would expect fewer deliveries in the second quarter compared to our first quarter.
Matt S. Brooklier - Longbow Research LLC: Got you. That's very helpful. And then you'd talked to I think starting to do some of the retrofits I think on your lease fleet. I wanted to get a little bit more color in terms of if you're offering how many retrofits you think you're going to do if it is for your lease fleet and if your expectations to potentially maybe do retrofits outside of just your own fleet at this point.
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Yes. Matt, thanks for the question. I did say that we have been doing modifications to a group of cars in our lease fleet. We wanted to really kind of prime the pump at our facilities so that we could develop strong competencies and efficiencies in making those modifications. We've been successful in receiving the orders from third parties and so we will now move to that phase again with a proven competency and begin third-party modifications during the second quarter. Those are not for our lease fleet. Those are for third-party owners.
Matt S. Brooklier - Longbow Research LLC: Third-party owners. Okay. Appreciate the time.
Operator: And we'll take our next question from Mike Baudendistel with Stifel. Please go ahead. Your line is open.
Mike J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Thank you. We noticed that you resumed share repurchases in the quarter and kept liquidity at $2.1 billion. Is that a liquidity level that you're comfortable with given the legal uncertainty and what's happening in the market.
James E. Perry - Chief Financial Officer & Senior Vice President: Yeah. This is James. We're very comfortable with that level of liquidity. It's been growing as we've seen our leverage move down, as we've seen working capital come down. So we're comfortable where we are. We don't give projections for use of capital necessarily, and we're prudent with those opportunities and make sure that they enhance the shareholder value for you guys. But we're very comfortable with where we are, liquidity wise.
Mike J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Okay, good. And then, Steve, can I ask you, you talked about leasing rates declining. Is it possible to put some numbers around there in terms of order of magnitude?
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Yeah. That's a surprise question, Michael.
Mike J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Yeah.
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Yeah. No, we're – I'm not able to put – it really varies by car type. It varies by market. I mean, I think, suffice it to say, that we're in a very challenging market and there is a lot of pressure on lease rates. And keep in mind that a lot of cars are coming off of leases that had peak lease rates out of them from a very strong market time. So inevitably, it's going to be downward pressure on those. And I think we're going to be in this position until you see a substantial amount of the idle fleet overhang absorbed, you can get stronger pricing traction under those circumstances.
Mike J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Okay. And how do you think about balancing portfolio utilization with price at this point? The competitor yesterday talked about maybe taking a leadership position on price. I mean, do you share that philosophy?
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: I think it's very important to keep railcars utilized. In periods of weak demand, obviously you're going to look at lower lease rates, but at the same time, we'll also work hard to keep our lease term shorter, so we have the opportunity to re-price that asset when market conditions improve.
Mike J. Baudendistel - Stifel, Nicolaus & Co., Inc.: Okay. Great. That's all for me. Thank you.
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Thank you.
Operator: And we'll go next to Steve Barger with KeyBanc Capital. Please go ahead.
Steve Barger - KeyBanc Capital Markets, Inc.: Hi. Good morning.
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Good morning.
Steve Barger - KeyBanc Capital Markets, Inc.: Just going back to the liquidity question, you've got a lot of firepower right now. You've made it clear you want to be seen as a premier diversified industrial company. Do you think you're diversified enough at this point and the focus will be on managing and growing the current segments, or do you think further diversification would be helpful? And if that's the case, what would that look like?
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Steve, this is Tim. We're always looking for opportunities in the industrial manufacturing market to acquire companies and launch new products as such, and we don't have a percentage of diversification that we're striving for in any business because all of our businesses are cyclical. And when they grow, we want to be able to grow and expand as aggressively as we can. When they cycle down, we like having businesses like we have with our Leasing business that has a little more consistent level of earnings than some of the manufacturing businesses. We basically search for businesses that have enrichment potential that fit in our portfolio really well, and we're not really hung up on diversification percentages or goals as much as we are as how well businesses fit with the manufacturing platform and the leasing business we have.
Steve Barger - KeyBanc Capital Markets, Inc.: Understood. And I know you're always looking at deals. Have you seen private company multiples come down as the cycle has progressed?
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Well, we think, as the cycle progresses, that multiples should come down. And historically, we've been pretty good at acquiring businesses at lower pricing during lower markets when companies are a little more – have a little more incentive to sell for one reason or another. And so we're very patient and we think long term, and so when the opportunity surfaces, we will pursue it as aggressively as we feel we need to.
Steve Barger - KeyBanc Capital Markets, Inc.: Can you tell me, as you look at the things across your desk, what the size is in terms of revenue? Would you look at a relatively large deal?
Timothy R. Wallace - Chairman, President & Chief Executive Officer: We look at all sizes of the businesses. And the size we have become, we have to start looking at larger deals than we have in the past. So, yes, we will look at larger deals. But then at the same time, there are smaller deals that come across that add to the businesses that we have that we pursue.
Steve Barger - KeyBanc Capital Markets, Inc.: Okay. And last question, when you think about your core competencies, are you more inclined to buy a company that's operating well where you may have to pay a slightly higher multiple or are you – would you buy a fixer-upper in some circumstances?
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Both. It's just a matter of the quality of the fit with our portfolio, the enrichment value that we think we will receive and the returns on the investment.
Steve Barger - KeyBanc Capital Markets, Inc.: And I guess actually I do have one more. Would you – most of your businesses are metal bending outside of leasing and I guess construction. But would you – do you primarily think you would get into another metal bending kind of business or would you look further afield?
Timothy R. Wallace - Chairman, President & Chief Executive Officer: Our preference really is metal bending businesses, but we also have made some nice acquisitions in the Aggregates business that fit real well within our portfolio. We have casting businesses that are in our portfolio and we have foundry businesses, so not just purely metal bending. And we've got a business that does some composite fiber glass type materials in our Barge business that makes cover. So, we look for how well does it fit with our ongoing businesses.
Steve Barger - KeyBanc Capital Markets, Inc.: Understood. Thanks very much.
Operator: And our next question comes from Art Hatfield with Raymond James. Please go ahead. Your line is open.
Art W. Hatfield - Raymond James & Associates, Inc.: Hey. Thanks. Good morning, everyone. Thanks for taking my questions. I'll try to be quick. Hey, real quick on retrofits. GATX said on their call yesterday that they were really only going to do jacketed CPC-1232 cars, because that's where they saw for them at least the economics making most sense. Are you kind of at the same thought process or are you able to make the economics work retrofitting other car types?
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: It's Steve. Well, I guess there's kind of two considerations. One is when we're contracting with a third-party, the decision of what kind of cars they want to modify is really their decision. We're just very pleased to provide the modification service, which we feel we can provide to a legacy car or to a CPC-1232, whether those are jacketed or unjacketed. So we have the ability and capability to do that. We continue to evaluate our fleet to see what the advantages are and which cars we should modify. Again, we have modified a group of cars to our fleet, and we'll continue to evaluate other cars in our fleet.
Art W. Hatfield - Raymond James & Associates, Inc.: Thank you. Next question, and I'll keep it to three questions. The second question, any change in the last six months to nine months in any of the credit quality of your lease customers? I would assume nobody stopped making any payments at this point in time, but any areas that you're a little bit concerned about and you're watching a little bit more closely than you did six months ago?
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Well, I guess in response to that, Art, we're comfortable with the credit composite of our leasing portfolio. We monitor it very closely. Certainly, the energy sector is experiencing some difficult economic circumstances. And you have a wide array of customers in the energy sector, some AAA-rated companies and some much smaller private companies. So we monitor those very closely. And at this point, we don't feel we have any significant issues in the credit quality of our portfolio.
Art W. Hatfield - Raymond James & Associates, Inc.: Great. And final thing, something I want to I guess get a greater appreciation for because within your business, you kind of have these inherent conflicts to deal with. And I think you've done a great job over the years of balancing the needs of the railcar manufacturing business versus your desire to grow and invest in the Railcar Leasing business. But given the market we're in today, I'm trying to understand if it would at some point in time on a certain car type or whatnot, is there a moment where maybe it would be advantageous for you to allow a customer to cancel certain car types that are being manufactured in an effort to reduce the potential oversupply situation that you're facing on cars that you have an interest in within the leasing group? I would assume there are short-term and long-term considerations. But I keep coming back to this belief that if the situation gets enough oversupplied that you could have a real damaging impact on the value of those cars you've invested in versus any give-up that you would have in the short run with regards to profits on manufacturing a specific car.
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Art, that's a good strategic conversation we should invite you to join. Thank you. We have a significant investment in leased railcars and we have a significant interest in those assets, maintaining good values and those values growing over the long-term. It's not good for our industry, whether the manufacturer or the (01:03:00) lessor to have idle equipment in the marketplace and further be oversupplied of railcars. So, in general, I agree with all that you said. The specifics of various hypothetical situations, I really can't opine on, but certainly we're proponents of growth in leased railcar values over time and we're not interested in simply oversupplying markets just to make railcars.
Art W. Hatfield - Raymond James & Associates, Inc.: And as quick follow-up to that, and I appreciate your answer. From your answer, I'm assuming that that's not really a conflict you've had to deal with, at least in the recent past. Is that fair?
D. Stephen Menzies - Senior Vice President and Group President of the Rail and Railcar Leasing Groups: Okay. Yes.
Art W. Hatfield - Raymond James & Associates, Inc.: Okay. Thank you. Appreciate it.
Operator: And our next question comes from Bill Baldwin with Baldwin Anthony Securities. Please go ahead. Your line is open.
Bill Baldwin - Baldwin Anthony Securities, Inc.: Good morning.
James E. Perry - Chief Financial Officer & Senior Vice President: Good morning.
Gordon Johnson - Axiom Capital Management, Inc.: Just a quick one here, Steve. On the modifications of the cars that you all loan in your owned-lease fleet and the partially-owned, do those modifications, do they show up in your maintenance expense when we see maintenance expense on the lease income statement?
James E. Perry - Chief Financial Officer & Senior Vice President: Bill, this is James. I'll...
Bill Baldwin - Baldwin Anthony Securities, Inc.: ...are those capitalized?
James E. Perry - Chief Financial Officer & Senior Vice President: Yeah. This is James. Primarily that's capitalization. So you'll see that run through CapEx.
Bill Baldwin - Baldwin Anthony Securities, Inc.: Okay. And is that CapEx then depreciated over the expected remaining life of the railcars, that's why you do that?
James E. Perry - Chief Financial Officer & Senior Vice President: That's right. It's just like when we put a new car on the fleet. So the remaining life, we take that and depreciate accordingly.
Bill Baldwin - Baldwin Anthony Securities, Inc.: Okay. Thank you.
Operator: And we'll take our last question from Gordon Johnson with Axiom Capital. Please go ahead.
Gordon Johnson - Axiom Capital Management, Inc.: Hey. Thanks for the follow-up, guys. I just had a question. It seems like you guys are saying that second half is going to better and margins are going to improve in the second half. Can you just provide maybe some commentary on what you guys are seeing to support those comments? Thanks.
James E. Perry - Chief Financial Officer & Senior Vice President: Yeah, I want to clarify a little bit, Gordon. This is James. And it's kind of a math exercise without getting too specific because we didn't. We said the second quarter, we expect at this point, to be the low point for the Rail Group margin of the four quarters. But remember our annual guidance is 15%. But first quarter was 18.6% on 7,100 railcars. So, you got to do some math to kind of back into your back-half at that point, but we're not necessarily talking about margins moving up or down quarter-to-quarter, but on average it's 15%, but we want to point out the second quarter what to expect.
Gordon Johnson - Axiom Capital Management, Inc.: Thank you.
James E. Perry - Chief Financial Officer & Senior Vice President: Thank you.
Gail M. Peck - Treasurer & Vice President of Finance: It looks like – this is Gail. It looks like that concludes today's conference call. A replay of this call will be available after 1 o'clock Eastern Standard Time today through midnight on April 29, 2016. The access number is 402-220-7220. Also the replay will be available on the website located at www.trin.net. We look forward to visiting with you again on our next conference call. Thank you for joining us this morning.
Operator: This does conclude today's program. You may disconnect at this time. Thank you and have a great day.